Takayuki Morita: I am Takayuki Morita, CFO of NEC. I am grateful to see such a large audience today. Let me walk you through our FY ending March 2019 Q3 results, which have been announced today. I will cover these points on this page today. Firstly, Q3 results. Then, full year forecasts, which have not been revised from the plan disclosed in the beginning of this fiscal year. Firstly, the summary of our Q3 results. Please turn to page 4. Q3's revenue covering three month period from October to December was JPY698.2 billion, while operating profit was JPY2.9 billion. Income before income taxes, JPY4.7 billion and net profit negative JPY1.5 billion. Nine-month cumulative figures were 2,034.7 billion for revenue, 16.7 billion for operating profit, JPY26.5 billion for income before income taxes and 7.7 billion for net profit. Due to accounting JPY25 billion for structure reform cost this term, 3 month operating profit decreased year on year. Details will follow later. Income before income taxes and net profit deteriorated by JPY4.7 billion and JPY300 million respectively. Free cash flows of Q3 were an outflow of JPY45.8 billion, worsened by JPY8.7 billion year on year. Page 5. This chart shows Q3 results by segment. While operating profit of the public business remarkably improved due to the impact of structural reform expense, operating profit of the system platform business and adjustment worsened. Page 6. Before explaining the results by segment, let me highlight on the structure reform implemented in Q3. Firstly, 2170 people applied for the voluntary early retirement program, which amounted to JPY20 billion in structural reform cost. On the right, you see the cost breakdown by segment. Through other measures such as temporary and permanent transfers to companies outside the NEC Group and the transfer of NEC Lighting Limited's businesses has already been announced, a total headcount reduction of 3000 people is expected. Also aiming at optimizing allocation of researchers, a decision to end the operation of Tsukuba Research Laboratories was made in Q3. In relationship to this shutdown cost, about JPY5 billion is posted under adjustment. Starting from the next page, I'll talk about the results by segment. Page 7, public business. Firstly, revenue. On top of the overall increase in public infrastructure areas centering around aerospace and defense business, public solutions areas firefighting and disaster prevention systems improved as well, registering revenue of JPY228.4 billion, up 3.1% year-on-year, although structure reform expense of JPY3 billion was posted on increasing sales and a decrease of unprofitable projects improved operating profit by JPY10 billion year-on-year, posting JPY15.6 billion. Page 8, enterprise business. Revenue of retail and services as well as financial institutions increased, resulting in an year-on-year growth of 6.7% rounding at JPY106 billion. Breakdown wise for retail and services, convenient stores were the major driver, while insurance and security houses bolstered the revenue of the financial institutions category. Next, operating profit. Along with the structure reform cost of 1 billion, another 1 billion was allocated to the enterprise business, as the development cost of the company wide IoT platform, which has moved on to the commercialization stage. Nonetheless, an increase in sales was able to absorb these impacts, recording operating profit of JPY9.6 billion, which is an improvement of JPY200 million. Next, network services business. Since CapEx by telecom carriers remains sluggish, revenue was flat. Structure reform cost of JPY2 billion was recorded, pushing down the operating profit by JPY500 million year-on-year, resulting in JPY2.7 billion. Page 10, system platform business. Thanks to an increase in business PCs, revenue was up by 1.6% year-on-year, posting JPY133 billion. Structure reform cost of JPY8 billion was recorded, causing operating profit to dip by JPY8.8 billion, resulting in JPY500 million. Next, global business. Revenue, while display solutions declined, safety solutions increased, leading revenue to be on par on a year on year basis. Next, operating profit. Display solutions profit decreased and JPY1 billion structure reform cost was incurred, but due to an increase of wireless solutions, operating loss improved by JPY800 million, posting negative JPY4.8 billion. Page 12 shows the details of our global business. The left shows the revenue of main solutions included in our global business. On the right, you see the revenue trends for Q3. Safety increased revenue year-on-year, due to the consolidation of Northgate Public Services. Service provider solutions revenue was the same level as last year as well as wireless solutions. Submarine cable systems increased, display was exposed to heated competition in the US, resulting in a decline. Page 13 shows net profit/loss change. Operating profit decreased by JPY4.1 billion. Financial income costs deteriorated by JPY0.6 billion. On the other hand, income tax costs improved by JPY4.2 billion and all in all, net profit/loss year-on-year was minus JPY300 million, accounting to a loss of JPY1.5 billion. On page 14, I will cover third quarter management topics. As of end last year, on December 27, we announced the acquisition of KM Holding. This is part of our initiative to strengthen NEC safer cities. By acquiring the largest IT company in Denmark, a country that pioneers in government digitization, we aim to attain a business model, leveraging a platform within the arena of digital government. This acquisition is scheduled to be completed by the end of February. Upon completion, NEC, Northgate Public Services and KMD synergy will be accelerated, focusing on expansion through cross sales and combining NEC's biometrics, Bio-Idiom, state of the art AI technology suite, NEC WISE and various KMD software to cultivate new customer value. Let me now move on to our full year financial forecast. Please refer to page 16. Our full year forecast has not changed since our initial forecast announced April 27, 2018. For the months April to December, 9 months accumulative, revenue is up by approximately JPY67 billion. Operating profit is also up by approximately JPY19 billion. However, for the full year, there are segments where upside potential can be expected as well as risk prone segments. To lead us into performance improvement after the year ending March 2020 and fulfilling our 2020 mid-term plan, we will consider possible initiatives that can be executed and put into implementation everything possible. Based on these factors, the forecast remains unchanged. Please refer to page 17. The left side shows IT services orders trends in Japan and the right shows order trends for IT services plus consolidated basis enterprise and public. As you can note, the domestic business environment continues to be favorable. The growth in orders up to Q3 will be our tailwind and we can expect an uptick versus our annual plan with enterprise and public being the drivers. On page 18, I will explain our full year outlook for global business operating profit and loss. The left bars show first half and Q3 actuals as well as full year forecasts. Q3 saw an improvement on a year-on-year basis by JPY800 million. However, on a 9 month accumulative basis, the full year improvement plan is JPY28 billion and we currently stand at JPY6.7 billion. When we look at the breakdown by solution, safety in wireless are improving as planned. For service provider solutions, energy and display, the risks explained during the first half guidance remain and we are continuing to propel profit improvement for global business. Page 19 shows our measures for profitability improvement toward March 2020. Initiatives implemented during Q3 have been explained in the onset, but for Q4 as well, we will optimize plans of NEC platforms, conduct business structure improvement in NEC Lighting Limited, decrease SG&A throughout NEC Group by optimizing office floors and we will also optimize overseas offices. We are also considering measures that will lead to cost and risk reduction in the next fiscal year, such as front loading development investments. Lastly, as I've explained so far, risk pertaining to global business will be offset by favorable domestic business and we will strive firmly to attain our full year forecast. Again, we will also consider and pursue all possible initiatives that we can implement within the fiscal year to lead us into profitability improvement after the year ending March 2020 and fulfill our 2020 mid-term plan. On that note, I would like to conclude. Thank you for your kind attention.
Q - :